Operator: Good day, ladies and gentlemen, and welcome to your IsoRay Fourth Quarter and Fiscal Yearend 2021 Financial Results Call. All lines have been placed on a listen-only mode and the floor will be opened for your questions and comments following the presentation. . At this time, it is my pleasure to turn the floor over to Mark Levin with IsoRay Investor Relations. Sir, the floor is yours.
Mark Levin: Thank you, operator. Good afternoon and thank you for joining us today for the IsoRay fiscal fourth quarter 2021 and fiscal year 2021 full year earnings call for the quarter and fiscal year ended June 30, 2021. Before we get started, I will take a few minutes to read the forward-looking statement. Certain statements in this conference call constitute forward-looking statements within the meaning of the Private Security Litigation Reform Act of 1995 as amended. When used in this conference, call words such as will, believe, expect, anticipate, encourage and similar expressions as they relate to the company or its management, as well as assumption made by and information currently available to the company's management identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and beliefs about future events as of today, September 21, 2021. As with any projection or forecast, they are inherently susceptible to uncertainty and changes in circumstances and the company undertakes no obligation to and expressly disclaims any obligation to update or alter its forward-looking statements, whether resulting from such changes, new information, subsequent events or otherwise. Additional information concerning forward-looking statements is contained under the headings of Safe Harbor Statement and Risk Factors listed from time to time in the company's filings with the Securities and Exchange Commission. We will begin today's call with Lori Woods IsoRay's Chief Executive Officer, and then Jonathan Hunt, IsoRay's Chief Financial Officer who will discuss the fiscal fourth quarter and fiscal year 2021 financial results. Following their prepared remarks, we will take questions from our analysts and institutional investors. I will now turn the call over to Lori Woods.
Lori Woods: Thank you, Mark. Good afternoon and thank you for joining us today for IsoRay's fiscal fourth quarter and full year 2021 earnings conference call for the period ended June 30, 2021. Following my comments, our Chief Financial Officer, Jonathan Hunt will provide a more detailed review of the fiscal fourth quarter and full year 2021 financial results. I am very pleased to share with you the continued progress we achieved in both the fiscal fourth quarter and the full year 2021. Revenue for the fourth quarter increased 19% over the year ago quarter to $2.71 million. This represented the best quarterly revenue total since the onset of the pandemic. Although our core prostate brachytherapy revenue grew modestly in the fourth quarter and declined 6% for the full fiscal year 2021, the significant growth in our non-prostate business led to record revenue for the full year into June 30. IsoRay's sales for the treatment of these hard to treat cancers increased 92% and 68% for the fourth quarter and full year respectively. The majority of this was the results of increased adoption of Cesium-131 in the treatment of brain cancer, including sales of GammaTile therapy. We continue to believe that IsoRay's opportunity in the treatment area of brain cancers is significant. At the same time, we see continued growth opportunities in addressing additional cancer, such as head and neck and lung. While these cancer treatment areas are in earlier stages of development for us than brain cancer, we believe that we will continue to see growing opportunities for expansion. It is clear that IsoRay's business is more diversified than it has ever been with more than a quarter of the fourth quarter revenue derived from non-prostate cancer treatments. Let me be equally clear that we continue to believe the core prostate business is very well positioned. We have adapted and found ways to thrive in this environment that have become the new normal. Over time, we expect to resume the higher pre-pandemic growth rates previously achieved and as we look forward to the nation emerging from this historic challenge, we expect to realize additional growth. At the same time, we intend to continue to selectively diversify our portfolio of targeted radiation therapies and thus our market opportunities and revenue streams going forward. Critical to IsoRay achieving this is our ongoing evaluation of a number of potential strategic initiatives, some of which we hope to finalize over the coming months. We have over $60 million in cash or approximately $0.45 per share on the balance sheet to fund the company's growth initiatives. You may remember that we see accretive growth opportunities in a few areas, investing to grow our position in the core prostate brachytherapy market, particularly in sales and marketing, further market development of Cesium-131 to treat other selective cancers through complimentary delivery technologies and devices. Investment in clinical studies to strengthen Cesium-131 used case in other cancers and in particular with immuno-oncology targeted therapies and potential acquisitions or partnerships to broaden IsoRay's portfolio of targeted radiation therapies. The strategic initiative involving the physician training programs, which we initiated in this spring of 2019 continues to yield benefits. These intimate hands-on events led by preeminent physicians in the prostate brachytherapy industry like Bernard Taylor of Texas Oncology were instrumental in presenting the benefits of Cesium-131 to the next generation of brachytherapy. Because of the pandemic, we have not been able to host as many of these in-person training programs, but we will soon be implementing an exciting new program, we believe will have a positive impact.  virtual communication platform represents an enhanced option to increase our physician's training efforts. Innovative technology is specifically designed to assist clinicians by sharing in real time or streamed all aspects of a medical procedure in tremendous detail. This platform will allow the leading breakytherapist we currently work with to share all aspects of a procedure with other clinicians, regardless of their physical location. Consider what this represents in terms of opportunity and access for doctors in communities nationwide and the patients they treat. We are excited about how this unique offering can help us reach more customers in a convenient and highly be detailed manner. At the same time, another facet of our strategic initiatives is focused on actively working to achieve greater engagement with some of the leading US medical teaching and research institutions. In concert with these efforts, we are also working to broaden our engagement with professional societies to place IsoRay's more integral role and to support education and training of radiation oncology residents on the many benefits of prostate brachytherapy. We are partnering with ABS the American Brachytherapy Society in their 310 initiatives to train 300 brachytherapy teams in 10 years. We are excited to see the focus that ABS is putting on the training of future brachytherapist and are very happy to support and participate in this program. Given that we believe brachytherapy will become a more meaningful part of the radiation therapy treatment paradigm, we feel that now is a pivotal time to expand IsoRay's role in this area. We have also expanded strategic efforts to counter the resulting impact of the headwinds our prostate business has faced over the past year. As you are no doubt aware, the pandemic has impacted hospital capacity at times, which has led to a number of canceled or delayed procedures. In an effort to mitigate this, our sales team is working with our customers to more consistently utilize alternative outpatient surgery settings. We believe this focus on driving more procedures to ambulatory surgery centers and licensed physician offices where these treatments can be performed, will bring access and treatment to more patients as long as COVID continues to be a factor in hospital access. Another development involves the ROAPM. We have continued to update you on this proposed outpatient reimbursement change because of its potential impact as we look forward to its scheduled start of implementation at the beginning of 2022. A key development occurred in July when CMS proposed changes to the ROAPM reimbursement model that would see the removal of brachytherapy from the list of included modalities. This means that brachytherapy treatments will still be reimbursed under the current model. This holds great promise as is evident in the proposed rule language. CMS explains that the exclusion of brachytherapy from the ROAPM is to ensure that providers would not be incentivized to forego brachytherapy in situations where a combination of brachytherapy and external beam radiation therapy is clinically indicated. Where this stands now is that we await the final rule that we believe may be released in late October or early November. Assuming this proposed final rule is implemented as is, we believe that this will prove to be the best outcomes for patients, physicians and payers. As the adoption of Cesium-131 for the treatment of cancers, other than prostate continues to grow and diversify our business, we remain equally focused on developing the current clinical trials in which we are engaged, while we also look at potential new clinical studies involving other cancer treatment areas. The two immuno-oncology studies, which we have discussed previously, the University of Cincinnati recurrent head and neck clinical trial with KEYTRUDA and a metastatic melanoma trial with Opdivo, each remain in the early stages of patient enrollment. Enrollment has been slower than originally anticipated which we believe is understandable given the current environment. As enrollment progresses and data is collected in each of these trials, we will update you on these developments as they occur. We are in early discussions with several leading research institutions relative to another clinical study, utilizing Cesium-131 brachytherapy treatment for lung cancer. We are examining the insertion of Cesium-131 sources or seeds directly into lung lesions without resorting to open surgery. We are looking at later stage non-small cell lung cancers among others for early phase study. I want to be clear that as we look to broaden IsoRay's presence as a diversified targeted radiation therapy leader, we have exacting standards. As we continue our evaluation of strategic opportunities with respect to complimentary delivery technologies and/or other products or technologies, we're being diligent that any target or venture meets certain criteria. These include, they must have a high degree of synergy so that we can leverage much of our existing operational infrastructure. They need to address a growing market, right for disruption and market share gains, and they possess strategic value to position IsoRay for future trends in the treatment of cancers for example, immunooncology. Today, IsoRay has evaluated over 20 projects for viability with about half a dozen of these projects, continuing in various stages of evaluation and/or due diligence. As we have more details on these growth opportunities over the coming months, I look forward to sharing these developments with you. Looking back at this fiscal year, we have made strides on many fronts. The increased diversification of IsoRay's business, the deeply talented team we have assembled and the strength of our balance sheet has allowed us to navigate the demanding operating environment over the past year and positions the company for enhanced growth opportunities in the future. I continue to firmly believe that we are embarking on exciting times for the company. Not only do we expect to return to growth in our core prostate business, but we look forward to building upon the growth of our non-prostate brachytherapy treatment. With our focus on growth and opportunity, we believe the year ahead is destined to expand IsoRay's role as a leader in the broader targeted radiation therapy market. Now, I will turn the call over to Johnson to review the results of our fiscal fourth quarter and full year.
Jonathan Hunt: Thank you, Lori. I am going to discuss some of the financial information that was contained in our press release for the fiscal fourth quarter and fiscal year ended June 30, 2021, that we were released a short while ago. We anticipate that our Form 10-K will be filed with the SEC on or around September 24. Revenue for the fourth quarter ended June 30, 2021, grew 19% to $2.71 million versus $2.28 million for the same period last year. Fourth quarter revenue was comprised of 74% for prostate brachytherapy with the balance or 26% of revenue attributed to other brachytherapy, primarily sales to treat brain, which included revenue from GammaTile and GT medical technologies. As Lori mentioned, fourth quarter non-prostate revenue increased 92% to a record $704,000. Gross profit as a percentage of revenues for the fourth quarter and of June 30, 2021 increased to 49.7% compared to 47% for the quarter ended June 30, 2020. The gross margin increase was primarily driven by higher sales, which were partially offset by higher non-isotope material costs and increased payroll and benefits expense due to greater headcount. Fourth quarter gross profit dollars of $1.35 million increased 26% when compared to the same period last year. Total operating expenses, consisting of research and development, sales and marketing and general and administrative, increased 8% to $2.44 million in the quarter versus $2.26 million in the fiscal fourth quarter 2020. R&D expense increased 45% versus the comparable prior year quarter to $468,000. The year-over-year increase in research and development expenses was primarily the result of increased payroll and benefits expense due to greater headcount and higher market research expenses versus the fourth quarter of fiscal 2020. Sales and marketing expenses were $659,000 in the fiscal fourth quarter of 2021, a decrease of 4% versus the comparable prior year period. The decrease was driven primarily by decreased incentive compensation, which was partially offset by increased travel expenses compared to the fourth quarter of fiscal 2020. G&A expenses of $1.31 million increased 5% versus $1.25 million in the fiscal fourth quarter 2020. The year-over-year increases in G&A expenses were primarily the result of increased payroll and benefits due to greater headcount and employment hiring expenses, which were partially offset by decreased public company related expenses versus the prior year comparable period. Additionally, in prior years, the majority of annual employee and director stock grants have been granted in the fiscal fourth quarter. However, this year's awards were granted in July 2021, subsequent to the close of the fiscal fourth quarter 2021. This resulted in decreased share-based stock compensation expense in the fourth quarter and full year fiscal year end 2021 compared to the prior year quarter in fiscal year. ISR posted a net loss of $1.06 million for the fourth quarter ended June 30, 2021, compared to net loss of $1.19 million for the quarter ended June 30, 2020. The net loss per basic and diluted share was $0.01 versus the net loss of $0.02 for the quarter ended June 30, 2020. Basic and diluted share results are based on weighted average shares outstanding of approximately $141.7 million at fiscal yearend 2021 versus $68.1 million for the prior year period. Turning now to our year 2021 results; revenue for the fiscal year ended June 30, 2021 increased 4% to a record $10.05 million compared to $9.68 million for the prior year. Prostate brachytherapy revenue represented 78% of total revenue for the fiscal yearend 2021 versus 86% through the prior fiscal year. The company's core prostate brachytherapy revenue declined 6% versus the fiscal year ended June 30, 2020. Non-prostate revenue grew 68% versus fiscal year 2020 to a record $2.23 million and was driven by growth in sales to treat brain including cells of gammatile therapy, lung and heavy neck cancers. Gross profit as a percentage of revenues for the fiscal year ended June 30, 2021 was 50.9% versus 52.9% for the fiscal year ended June 30, 2020. Full year gross profit dollars of $5.12 million were flat when compared to the fiscal year 2020. The gross margin decline was a result of increased total cost of product sales due primarily to higher isotope and non-isotope material cost as well as increased payroll and benefits related to an increase in headcount compared to fiscal year of 2020. Total operating expenses of $8.57 million for the year ended June 30, 2021 declined modestly from $8.6 million in fiscal year 2020. Total R&D expenses increased 27% to $1.43 million dollars from $1.13 million in fiscal 2020. The increase in total research and development expenses was primarily the result of increases in protocol, payroll and market research consultant expenses versus fiscal year 2020. Sales and marketing expenses decreased 18% to $2.44 million versus the prior fiscal year. The decrease was primarily driven by decreased incentive compensation and declines in travel and convention costs due to COVID19 versus the prior fiscal year. General and administrative expenses increased 3% to $4.69 million versus the prior fiscal year. The year-over-year increase in G&A expenses was driven primarily by increased payroll and benefit expenses due to higher headcount and employment hiring expenses and insurance and premiums, which were partially offset by decreases in public company related legal and travel expenses when compared to fiscal year 2020. The company's not lost improved to $3.39 million for the fiscal year ended June 30, 2021. This compares to a net loss of $3.47 million in fiscal year 2020. The net loss per basic and diluted shares was $0.03 versus $0.05 in fiscal year of 2020. Basic and diluted share results are basic on weighted average shares outstanding of approximately $103.8 million at fiscal yearend 2021 versus $67.6 million for the prior year period. As of June 30 2021, the company had cash, cash and equivalent and certificates of the deposit that total $63.8 million or approximately $0.45 per share compared to $2.39 million at the end of fiscal 2020 ended June 30, 2020. The company has zero long-term debt. Shareholder's equity at the end of fiscal 2021 totalled $67.4 million versus $5.72 million in the prior comparable period. As we enter fiscal 2022, I want to provide some color on temporary increased cost of goods sold that ISR expense will impact gross margins in the first and second quarters of fiscal year 2022. Due to anticipated feature growth, we are investing and bringing a second supply of Cesium-131 online. As you may have noted on our recent 8-K filed on September 15, we have invested in additional enriched variant to facilitate bringing a segment reactor online. We expect that during the initial setup of the new reactor, we'll be ordering additional isotope to handle the potential start-up variability in isotope supply. In the short term, we expect this will negatively impact our gross margins by approximately 5 percentage points to 10 percentage points in the first half of fiscal '2022 ending December 31, 2021. I will now turn the call over to the operator to take questions from our analyst and institutional investors.
Operator:  And our first question today is coming from Frank Takkinen at Lake Street Capital Markets. Your line is live. You may begin.
Frank Takkinen: Hey, thanks for taking my questions. Wanted to start with the progress in non-prostate brachytherapy. Heard all your commentary there, it sounds like things are really going well, but was hoping you could just take us a little bit deeper into why you're seeing so much success in this product line and then longer term, if you see the non-prostate line of the business starting or potentially eclipsing the prostate side of the business?
Lori Woods: Hi, good morning, Frank. Thank you for your questions. So, at this point in time, we believe that there's a couple different factors that affected the surgical part of our business. One would be certainly when you compare it to the prostate side of the business, the prostate side of the business has been much more affected by the pandemic and the access to hospitals, excuse me. And so when you compare the two, our surgical applications, which are typically on harder to treat cancers, more aggressive later stage cancers, have not had the same problem. So that's one aspect of this. The second aspect would be that we have been seeing a lot of increase in our brain cancer treatments, which we're very excited about. We are also seeing some increase and I spoke briefly about a clinical trial we're looking at engaging in for lung cancers. The company in the past has been involved in lung cancers, but at that point in time, really the only delivery device for that was surgical application. And now we're looking into other applications in ways to do it in a less invasive manner. And we have a physician and several other physicians looking at this right now. And we're excited about that, because we're seeing physicians beginning to use that application as well.
Frank Takkinen: Got it. That makes sense. And then I wanted to switch gears to the capital allocation strategy. Appreciate all the color there again, but maybe just help us boil down where you are seeing the most rich ROI opportunity and/or differently asked, where are you guys putting the most resource to really grow the business and where do you see the most attractive opportunities?
Lori Woods: So we continue to focus on our port core prostate market. We have a lot of opportunity there and currently we are doing several things from a marketing perspective to reengage in that setting since the pandemic has made access to hospitals and physicians more difficult. So we have reached out to figure out how to do online training, I guess, or virtual training I would call it, with proxy . This is very exciting to us because we had great success training physicians and residents prior to the pandemic. And we want to get back online with that and being able to work with proxy  and set that up and maybe augment it by some in person training as well, gives us the opportunity to really expand that and get that back online and we're very excited about the potential there to get people trained, get them aware of Cesium, combining that with really helping people understand what our long-term data that came out in the late fall, just before the pandemic hit, getting them to understand that as well, that that is out there. These are things on the marketing side that we're looking at. We're looking at engaging in larger -- also in larger groups as that promote prostate cancer and we'll probably get back to you with more information on that coming up, but we've got several different fronts that we're looking at to engage in marketing. And from a sales perspective, we have a new sales manager who is working with our sales team and looking at our territories and we are open-minded to adding more sales people to our sales force. We want to make sure that when we do that, it makes sense where we're putting them and that they have the opportunity to really grow territories as we expand.
Frank Takkinen: Okay. That's helpful. Sorry, go ahead.
Lori Woods: I didn't get to the second part of your question, which was, what other -- what areas are we looking at? So prostate is certainly one of them. We talked about lung just a minute ago and our surgical applications. We're going to continue to work on those as we have been, but we're also looking at, and we made mention of this, many other opportunities, those opportunities, we really are running through some criteria on right now and as you know, due diligence can take some time. But we are hoping that in the next few months, we will have some things to say to you all about all of that. And again, it's something that would be accrued to what we're doing now, either from a delivery device perspective or from a surgical application perspective or other types of potential synergies with our core business, which is radioisotopes.
Frank Takkinen: Perfect. That's helpful. And then just last one from me, circling back to Jonathan's last comments about gross margin, understanding the headwind of 5% to 10% in fiscal first half puts me at around 40% to 45% gross margins for the first half. Is this an investment in advance of being able to potentially expand margins beyond what the historical business was and call it low 50s% and then as a follow up, what's the margin profile of prostate versus non-prostate revenues.
Jonathan Hunt: Yeah. This opportunity that we have here, I focus more on the supply chain and being able to expand our supply chain, diversify our supply chain between the two different reactors. They're actually, reactor we've used before, that we haven't used in some time. We haven't had the need for it. But we're bringing that back online. That's where it's going to cause some of that variability as we enter into this first half of the year just trying to get the targets in the reactor, in the right spot to get the optimal I'm out of Cesium out once we pull that out of the reactor. And so just kind of looking forward to that, I think we've talked about in the past, in terms of our gross margin. We do believe we can continue to grow that that is somewhat going be based on volume. And as those volumes increase, it allows us to be more efficient and the use of our isotope going forward as well as obviously leveraging some of those fixed costs that we have in terms of the facility and things like that. And in terms of a margin breakout between prostate and non-profit state, we really have not provided that in the past. And I would say that they're overall somewhat comparable in terms of -- the surgical is really still using the same seed as what we're using in the prostate application.
Frank Takkinen: Got it. Okay. Thanks for taking my questions.
Jonathan Hunt: Thank you.
Operator: Thank you. Our next question today is coming from Tim Chiang at Northland Capital. You may begin.
Tim Chiang: Hi. Thanks. Lori, when you talk about business development, are you prioritizing potentially accreative transactions to the top and bottom line? Is that sort of the main focus? Could you just describe, what sort of transactions we should expect in the next six to nine months?
Lori Woods: Hi Tim. Absolutely. We are looking at and reviewing potential partnerships, acquisitions, many different types of relationships. We're looking at all of them at this point in time. And we absolutely would like them to be accretive. That being said, we're also looking at some others that would potentially disrupt bigger markets and might take a little longer to get to markets. So as you're aware, we're sitting on a lot of cash and that gives us opportunities and so we're not going to certainly not look at other things that position us well for the future that might be a little longer term, but we're also very much looking to the short term and taking a close eye on the things that are available in our wheelhouse out there and how they might integrate into our current opera.
Tim Chiang: And maybe one follow up, you mentioned the training programs that you had in place in the past, right. But then COVID happened. And I know that you want to continue to emphasize the training of new physicians for your brachytherapy treatment. How do you think you can roll that out starting in 2022? Is there a potential that you can do it virtually?
Lori Woods: Yeah, absolutely. That's what  is. It's a virtual training platform and it's really exciting because it allows us a couple different things. One is you can have a doctor who's anywhere in the country, watch a live procedure with a doctor doing it, who can be talking to that doctor at the same time and walking him through it. So the potential there is really great. They have multiple cameras in the operating rooms, multiple ways of doing this. The other thing that's a nice benefit as well, is that afterwards we keep a library of those procedures. So if a doctor watched a live procedure, but then wants to go back before he does his first procedure and just make sure he understands and remembers, exactly what he saw, he has access to a library. And that library we think is going to be, very beneficial as well. So, and eventually we see this being a platform that we could use worldwide. Right now we're going to start in the US and we're going to be working on getting our positions back in the training mode and doing what we were doing before the pandemic and we think this is a very effective tool for it.
Tim Chiang: And just one last question, Lori, do you have the capability to sell Cesium outside the US or if you consider looking for a partner?
Lori Woods: We certainly do have the capability of doing it. And over the years, IsoRay has had many partners. Well, not many, but we've had several partners. And we were actually in the process of looking at that just prior to COVID happening. And then COVID kind of shut everywhere down that we were talking to. And until we can get to the point where those countries are back online, I think we are keeping our focus in the US market, but it's not to say that we wouldn't go out beyond the US market, once things get a little easier and business gets back to normal and the potential -- the potential distributors we were talking to get back online.
Tim Chiang: Okay. Great. All thanks, Lori.
Lori Woods: Thank you so much, Tim.
Operator: Thank you. Our next question today is coming from Mike Ott at Oppenheimer. Your line is live. You may begin.
Mike Ott: Good morning and thanks for taking my questions. Curious, Lori and Jonathan, how much do you think sales targeting more of the ASC and physician's office settings lift your core prostate revenues over the next few quarters?
Lori Woods: Hey, good morning, Mike. I can't give exact guidance on that at this point, but I do want to give you some color, which is we've been working with several of our physicians on this over the last couple of months and we see the opportunity. There is a real important one, both for our revenues, certainly and for patient access. Patient access continues to be an issue and it's one that the doctors are very concerned about, but it's understandable. We're still dealing with unfortunate variants and other things. And so hospitals don't have the capacity they've had. So going out and helping our physicians identify ambulatory surgery centers in their community has been one of the ways that we're trying to help drive patient access to this procedure and get them to not see this as an elective surgery. I don't think any of us feel like prostate cancer or any other cancer is an elective surgery, but unfortunately that has happened many times in many settings. So we're going to continue to work on this. We, see positive movement by getting our physicians out into ambulatory surgery settings. And so we're going to continue to do that. And I think going forward that will be a bigger piece of where some of our prostate revenue comes from.
Mike Ott: No, that's a smart strategy, definitely during COVID. And with the prostate revenues and the quarter down, roughly 1% sequentially by our math, would you say you have any patient backlog of pent-up demand remaining, especially as you say, some patients unfortunately viewing prostate, as a bit of an elective surgery,
Lori Woods: We absolutely do. When we looked at the American Cancer Society's statistics last year, and there are 30% increase for 2021, I think that assumption was made on the fact that we would get past the pandemic and as we are all aware of, we aren't quite past it yet. And so I feel like and looking at those numbers and then extrapolating what we have seen in the problems with access into hospitals that the backlog continues to grow. I don't have exact numbers for you on that, but certainly patients are afraid to go in and doctors are telling us that they're not -- still not seeing the numbers of patients they would expect coming through the system, although it has, and you can tell from our growth has been easing up. So we're going to keep watching this and see what happens, but right now I think we continue to be affected by COVID.
Mike Ott: Understandable. And then if I could quickly get maybe two quick updates on first C4 MRI market that was cleared earlier this year, and also any updates on your Blue Bill motor out of the field. Thanks.
Lori Woods: Yeah, absolutely. So on C4 imaging, we have been working through our processes and procedures so that we can have a successful limited market release. We're anticipating that we're going see the first orders happening here in the next several months. So that is coming along nicely. We're, excited about that. We're also working with CMS on the reimbursement front of that, and we're hoping to be able to hear some news one way or the other on that as well. So that has been progressing nicely. And in terms of Blue Build, I think Blue Build because it's a delivery device for the prostate market suffers a little bit from the general prostate issues we've been facing, but we continue to sell to our physicians and have identified other physicians who are interested in using it. It's a matter of access to these physicians to show them the device to train them on the device and those kinds of things. And that's where we're wanting to tie in prosimi  to help us get some movement on there because access is very difficult right now.
Mike Ott: Okay. That was very helpful. Thanks so much, Lori.
Lori Woods: Thank you.
Operator: Thank you.  At this time, we have no further questions in the queue, Ms. Wood.
Lori Woods: Thank you so much, everyone for joining us for the second time for our earnings call. We appreciate your time. Have a great day.
Operator: Thank you. Ladies and gentlemen, this does conclude today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.